Operator: Good afternoon ladies and gentlemen. This afternoon, Todd Macomber, Radiant's Chief Financial Officer will discuss financial results for the company's Second Fiscal Quarter Ended December 31st, 2020. Following his comments, we will open the floor for questions. This conference is scheduled for 30 minutes. This conference call may include forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The company has based these forward-looking statements on its current expectations and projections about future events. These future-looking statements are subject to known and unknown risks, uncertainties and assumptions about the company that may cause the company's actual results or achievements to be materially different from the results or achievements expressed or implied by such forward-looking statements. While it is impossible to identify all the factors that may cause the company's actual results or achievements to differ materially from those set forth in our forward-looking statements, such factors include those that have in the past and may in the future, be identified in the company's SEC filings and other public announcements, which are available on the Radiant website at www.radiantdelivers.com. In addition, past results are not necessarily an indication of future performance. Now, I'd like to pass the call over to Radiant's Chief Financial Officer, Todd Macomber.
Todd Macomber: Thanks. Good afternoon everyone and thank you for joining today's call. Unfortunately, Bohn is unavailable for the call as he is recovering from COVID. We expect him to make a full and complete recovery and look forward to seeing him back in the office along with his continued leadership. I have asked my colleague, Arnold Goldstein, Radiant's, Chief Commercial Officer to participate with me on this call. We are very pleased to report another quarter of solid financial results as we continue to navigate this unique environment. We reported revenues of $218.8 million and net revenues of $55.3 million for the quarter ended December 31st, 202. Revenues were up about 7.7% or approximately $16.9 million, while net revenues were down slightly about 1.1% or $600,000. Consistent with recent quarters, through a number of cost savings and other strategic initiatives, we were able to manage our operating costs and post impressive financial results. For the three months ended December 31st, 2020, we reported net income attributable to Radiant Logistics of $3.812 million on $218.8 million of revenues, or $0.08 per basic and $0.07 per fully diluted share, which also included a charge of $1.8 million per change in contingent consideration. For the three months ended December 31st, 2019, we reported net income attributable to Radiant Logistics of [technical difficulty] $201.9 million of revenues or $0.05 per basic and fully diluted share. This represents an increase of approximately $1.225 million of net income over the comparable prior year period or 47.4%. For the three months ended December 31st, 2020, we reported adjusted net income attributable to Radiant Logistics of $8.640 million compared to adjusted net income attributable to Radiant Logistics of $6.300 million for the three months ended December 31st, 2019. This represents an increase of approximately $2.340 million or approximately 37.1%. We reported adjusted EBITDA of $12.529 million for the three months ended December 31st, 2020 compared to adjusted EBITDA of $9.375 million for the three months ended December 31st, 2019. This represents an increase of $3.154 million or approximately 33.6%. Moving on to the six month results. For the six months ended December 31st, 2020, we reported net income attributable to Radiant Logistics of $6.900 million on $394.7 million of revenues, or $0.14 per basic and fully diluted shares. For the six months ended December 31st, 2019, we reported net income attributable to Radiant Logistics of $5.822 million on $402.5 million of revenues or $0.12 per basic and $0.11 per fully diluted share. This represents an increase of approximately $1.078 million over the comparable prior period or approximately 18.5% For the six months ended December 31st, 2020 reported adjusted net income attributable to Radiant Logistics of $15.160 million compared to adjusted net income attributable arrangements of $12.783 million for the six months ended December 31st, 2019. This represents an increase of approximately $2.377 million or approximately 18.6%. We reported adjusted EBITDA of $21.756 million for the six months ended December 31st, 2020 compared to adjusted EBITDA of $19.053 million for the six months ended December 31st, 2019. This represents an increase of $2.703 million or approximately 14.2%. We have always managed our business with an eye towards net revenues and getting as many of those dollars to the bottom-line. I'm pleased to report that our adjusted EBIT on margins were up 590 basis points for the current quarter to 22.7% from 16.8% for the comparable prior year period. Our balance sheet remains very strong, providing us with ample flexibility to capture opportunities should we choose to act. We have a war chest of dry powder with less than one turn of debt. Our results continue to show that even through this pandemic, our non-asset based variable cost model works well enabling us to maintain profitable growth and we're also able to report significantly improved adjusted EBITDA margins. We continue to see a slow and steady improvement across many industry verticals that we serve, even though this environment -- even in this environment of continued tight capacity, With the diversity of our customers and service offerings, the strength of our balance sheet, our optimism surrounding the strengthening of the economy, we're excited about what opportunities lie ahead for Radiant. We will continue to closely monitor our performance, as well as the overall political economy. We look forward to reengaging in acquisition opportunities and/or stock buybacks and we'll be communicating that information. With that, I will now turn it over to our moderator to open it up for any Q&A.
Operator: Certainly. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] Your first question is coming from Mark Argento. Your line is live.
Unidentified Analyst: Hey guys, this is John on for Mark. Thanks for taking my questions. Congrats and nice quarter and wish Bohn a speedy recovery. First one from me, could you kind of peel the onion and dig into a little bit more some of the industry verticals where you've seen the most strength? And maybe give us an update on where the overall capacity environment has trended so far in 2021?
Todd Macomber: Sure. Yes, a lot of it -- a lot of it is going to be government work. We've had a fair amount of government work and a lot of consumer products have been our strongest verticals. The overall tightening of the capacity. I mean, I think that's going to be there for a little while, I think things are starting to loosen up a little bit. But there's a lot of -- I'm sure you're aware, a lot of ships out on the LA port that are waiting to come in. So, really, the freight going from the West Coast, East has been pretty -- the capacity has been restricted. And know, it's just going to take time to work through that. So--
Unidentified Analyst: Okay. Then second, you called out the Clippers business in the press release, I'm just wondering if you could dig into that a little bit more. What are you seeing there, shine giving you more confidence in the growth trajectory?
Todd Macomber: Yes, yes. Clipper has been just doing phenomenal for us. We've recently invested in another warehouse and they are -- they've done a bundling strategy that's worked out really well. They've got a nice pipeline. They're putting up a lot of points on the board. We're just tickled with how they're performing. They continue to grow. And I just think there's a lot of opportunity for Clipper. They're really hitting on all cylinders.
Unidentified Analyst: Okay. Last one for me, when you think about the cost structure is that effectively bid and kind of normalized at this point? I know you guys have been able to run a pretty profitable business here, but when you look out into the next couple quarters, what is kind of the outlook for capital allocation and reinvesting the business, both internally as well as potentially M&A?
Todd Macomber: Okay, good questions. Yes, I'd say the cost structure -- I mean, we did -- when COVID hit, along with everyone else, right, everyone tightened up their belts. And so I would say, as it relates to personnel that we would see similar levels of personnel costs going forward. We did invest a little bit in some new salespeople, but by and large, the overall run rate right now as far as personnel costs, and that's where the majority of the cost savings were, there was some SG&A too, but they -- I see those as kind of sticking with where they are currently. As far as M&A, that's a great question. I mean we're always looking as -- we're very mindful, though, at the multiple that the stock is trading at and what we would have to pay. I mean, typically we do in an earn-out, and we will pay half down and the rest through an earn-out, but really it depends on the opportunity and what the multiple is, and what the business opportunity brings to the company. So, we're looking at things right now. But until we move forward, I mean, that's where we are right now at this point and to be honest, I don't know all of the different -- Bohn's got a number of contacts, and he kind of brings me over the fence when I need to be. So, -- but we do see that there will be opportunities in the future and we're excited for them.
Unidentified Analyst: Awesome. Thanks guys. Congrats on the quarter.
Todd Macomber: Thank you so much.
Operator: Thank you. Your next question is coming from David Campbell. Your line is live.
David Campbell: Hi, Todd. Thanks for taking my question. There's a $251,000 -- $291,000 charge on the -- in the other expense -- the profit and loss statement. Can you -- what is that from?
Todd Macomber: That's a negative expense. That's actually a lease -- that's leasehold income from a space that we had that we ended up leasing out.
David Campbell: Okay. And you lost money on the lease?
Todd Macomber: No, it's a negative expense. So, it's income.
David Campbell: Its income, right. So, it’s a negative expense?
Todd Macomber: Right.
David Campbell: -- on your lease situation. Okay, that's great. So, the West Coast has had ships waiting, as you mentioned, to come in, that normally would get fixed in February, when the Chinese New Year starts. And any idea what the situation looks like after Chinese New Year is over?
Todd Macomber: Dave, I think it's a great question. I mean I think part of the issue, though, is COVID. My understanding is there's about 1,800 workers or there was a few weeks ago, that weren't able to be in the port to unload those ships, which is really causing a tremendous strain. So, COVID is playing a big impact. I don't know what it is today, but there was an article a few weeks ago that came out to talk about that, but I got to believe COVID is still very much a significant impact, and kind of -- it's impacting the ability to unload those ships. Obviously, it will happen in time, but I really don't have a lot of visibility. Maybe Arnie, if you want to jump.
Arnold Goldstein: In addition to the COVID effect, there's a significant -- as you mentioned, David, there's an imbalance and equipment. So, with all those ocean vessels sitting out in the port, that obviously means that there's containers sitting out there that are not going to be offloaded and then returned to Asia to be reloaded. So, the inventories and the volumes that are building up in Asia, in particular, are significant. So, I think it's fair to say that we would expect the peak sort of to continue on past Chinese New Year will, for the next month or so, until they start to clear out.
David Campbell: Thank you. And can you just -- you mentioned government work is one of your stronger sectors of your business, is that in COVID-19 related work?
Todd Macomber: So, yes, so we are supporting government entities vertically, right? So, through FEMA down through DOS, DHS, HHS, so a number of the number of the government agencies. Most of that -- a lot of that is COVID relief related. So, it could be PPE, it is some vaccine-related activity as well, as well as some manufacturing related to COVID support. We also are very active in supporting the government through it's -- through FEMA through a lot of the activities with National Guard and other entities. So, very robust business for us.
David Campbell: That’s good, because it all sets, apparently, some weaknesses in other parts of your business, which are related to the economy, retail, sales, et cetera.
Todd Macomber: Yes, trade shows, cruise lines, those are -- I mean, at some point, they'll obviously come back and we can't wait for that to happen until then. You're right.
David Campbell: Yes. Yes. Well, you're doing a great job in the meantime of getting through this situation. And we look forward to good results in the March and June quarters when you'll have again, more normal situation -- at least will in the June quarter. Thank you very much for your answers.
Todd Macomber: You bet. Thanks David.
Operator: Thank you. Your next question is coming from Mike Vermont. Your line is live.
Unidentified Analyst: Hey guys. Just want to say great quarter and Bohn if you're listening or when you listen, hope you get better soon. Guys, phenomenal job this quarter and really over the past four quarters, eight quarters, it's a different company than it used to be. How much would you say is that business that shut down right now? The cruise lines, is it 20% of the business is kind of--
Todd Macomber: No, no, no.
Unidentified Analyst: [Indiscernible].
Todd Macomber: Yes, we really don't get into that level of granularity. It's not a huge amount. And so I don't want to start throwing numbers out there with stuff that we don't typically report on.
Unidentified Analyst: Got it. Okay.
Todd Macomber: It's not huge. I mean, don't get me wrong, it'll be nice when it comes back. And it'll help. It'll add to the bottom-line, of course, but it's not going to make any crazy increase in the number.
Arnold Goldstein: Yes, we've been very fortunate over the few -- last few years to invest in sales resources along vertical lines, which I'd like to say were great planning, but nobody planned a COVID. But along the government and military, life science, test, logistics, NGO, which is non-government charitable organizations, which are moving cargo, during this period. So, other verticals like, cruise line, not so much, obviously, but there's opportunities within marine, marine spare parts and other areas that we're looking at, as well as automotive is coming back now.
Unidentified Analyst: Excellent. Now getting -- I know, this question was asked before about capital allocation, we're trading -- I don't think there's any non-asset transport company out there trading, like we are under 10 times, earning six times EBITDA, can you find any M&A out there, that is either strategic enough or cheap enough to say that it's better than buying our stock right now.
Todd Macomber: It really depends upon the multiple. And there are opportunities. I mean, if we get -- we look at a bigger business, we're going to pay, we're going to be competing with the private equity guys and the multiples going to go up. So, if we look at smaller ones, the multiple comes down to something much more reasonable. So, I really can't say because -- but generally speaking, that's what we see. So, we see a smaller EBITDA business, we can get in the multiples we really like. It doesn't mean we won't look at something bigger, but we will certainly think twice and look at the allocation and where the company stock is trading versus buying our own stock back, which has no integration risk. So, we're very conscientious about that. So--
Unidentified Analyst: Yes, when you look at it, our evaluation, our stock has moved slightly, but our valuation has actually come down. So, I guess that answers the question right there. It's hard to find anything of our size and diversity even close to the valuations.
Todd Macomber: Yes, I agree.
Unidentified Analyst: Yes. Guy, great job and great through this difficult time, excellent execution.
Todd Macomber: Thank you so much.
Arnold Goldstein: Thank you.
Unidentified Analyst: Yes.
Operator: Thank you. There are no further questions in the queue at this time. [Operator Instructions] There are no further questions in the queue at this time.
Todd Macomber: All right, let me close by saying we remain very bullish on our prospects here at Radiant and the scalable non-asset-based platform that we have built. With the diversity of our customers and service offerings, the strength of our balance sheet, the scalability of our technology and extensive carrier partner network, we are certainly optimistic about the economy, its ultimate recovery, and the opportunities that will present for Radiant. At the same time, we remain patiently persistent in the pursuit of our vision to leverage our multi-brand strategy and scalable back office infrastructure to support further consolidation in the marketplace, which we believe over time, will continue to deliver meaningful value for our shareholders, our operating partners, and the end customers we serve. Thanks for listening and your support of Radiant Logistics.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.